Operator: Good day, ladies and gentlemen and welcome to the Targa Resources’ Second Quarter 2015 Earnings Webcast and Presentation. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator instructions] I would now like to turn the conference over to Jennifer Kneale, Senior Director of Finance. You may begin.
Jennifer Kneale: Thank you, Nicole. I'd like to welcome everyone to our second quarter 2015 investor call for both Targa Resources Corp. and Targa Resources Partners LP. Before we get started, I would like to mention that Targa Resources Corp., TRC, or the Company and Targa Resources Partners LP, Targa Resources Partners or the Partnership, have published their joint earnings release, which is available on our website at www.targaresources.com. We will also be posting an updated investor presentation to the website later today. I would like to remind you that any statements made during this call that might include the Company’s or the Partnership’s expectations or predictions should be considered forward-looking statements and are covered by the Safe Harbor provision of the Securities Acts of 1933 and 1934. Please note that actual results could differ materially from those projected in any forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings, including the Partnership’s Annual Report on Form 10-K for the year ended December 31, 2014 and quarterly reports on Form 10-Q. Speaking on the call today will be Joe Bob Perkins, Chief Executive Officer; and Matt Meloy, Chief Financial Officer. Joe Bob will start off with a high level review of performance and highlights. He will then turn it over to Matt to review the Partnership’s consolidated financial results, segments results and other financial matters. Matt will also review key financial matters related to Targa Resources Corp. Following Matt’s comments Joe Bob will provide some concluding remarks and then we will take your questions. There are also several other members of the management team available who may assist in the Q&A session. With that, I will turn the call over to Joe Bob Perkins.
Joe Bob Perkins: Thanks, Jen. Welcome everybody and thank you for joining us this morning. I’d like to remind you that this is the first reported quarter that includes the full quarter of results from our Targa Pipeline or TPL assets, which were a partner on merger that closed on February 27. As we describe our results from the quarter, the inclusion of TPL in Field Gathering & Processing segment, naturally will be the biggest factor in a number of increases as we compare results to last year and to last quarter. Turning to Targa’s second quarter results. Our reported second quarter adjusted EBITDA was $303 million as compared to $229 million for the second quarter of last year. This 33% increase was driven primarily by the inclusion of TPL’s assets for the full quarter, which more than offset lower commodity prices. Our distributable cash flow for the quarter of $219 million resulted in distribution coverage of approximately 1.1 times based on our second quarter declared distribution of $0.825 or $3.30 per common unit on an annualized basis. The Partnership’s second quarter distribution represents a 6% increase compared to the second quarter of 2014. At the TRC level, the second quarter dividend of $0.875 or $3.50 per common share annualized represents a 27% increase compared to the second quarter of 2014. Through the price swings we have seen to-date in 2015, our Field Gathering and Processing volumes continued to grow through the first six months of the year compared to the fourth quarter of last year. Natural gas inlet volumes increased in the second quarter compared to fourth quarter across eight of our nine systems. Overall, Field Gathering and Processing volumes were up more than 5% second quarter of 2015 over fourth quarter of 2014. For the second quarter versus fourth quarter, we experienced a slight volume decrease in North Texas from reduced activity levels and from the impacts of severe flooding in the area. In the absence of the commodity price rally, we expect that North Texas volumes are likely to decline for the balance of the year. All of our other field operations had volume increases versus the fourth quarter of 2014. And as we look at expected volumes for the balance of the year in the Permian Basin, the Badlands and SouthOK, we expect some continued growth in each of these areas. As you are all well aware, commodity prices continue to be volatile. In May and June, spot crude prices rallied to over $60 per barrel and recently fell below $50 per barrel. Yesterday WTI was about $46 per barrel. While there continues to be uncertainty on price and related activity levels, our current expectations for average 2015 field GMP volumes is 3% to 5% overall growth in 2015 versus Q4 2014. This is slightly higher than our previous guidance of flat to low-single digit growth on the same comparison. For the most part, we are seeing continued activity around our field GMP areas of operations, but obviously less than we were experiencing in 2014. We are also seeing Targa’s strong operational capabilities, reputation for customer service and willingness to spend capital selectively for attractive projects that have allowed us to capture some existing and future producer volumes from other Midstream companies. Predicting 2016 field GMP volumes continues to be more ordinate science. Producers have demonstrated their willingness to increase their pace of drilling in almost all of our areas if crude prices improve to for example $60 per barrel. However, our ability to predict 2016 prices and therefore produce our expectations for those prices has not improved. In April, we said that if commodity prices didn’t improve April levels, average 2016 field GMP volumes maybe lower than 2015. Predicting 2016 field GMP volumes continues to be difficult, but I want to say that we generally feel a bit more optimistic about volumes than we did at the first of the year. Now, as we said, we project that 3% to 5% volume growth from Q4 2014 to average 2015, which slightly puts Targa at a better 2016 beginning spot than we were expecting. Looking at DOE US onshore oil production data, we see a decline in April and May, which probably is a good thing for the industry. That’s obviously the net result of some areas growing and some areas declining. We are seeing growth in our most important areas and expect that to continue at least through the near term, proving that we have strong positioning. So we feel a bit more optimistic for 2015 and to some extent 2016, not because of an improved price outlook, but because of volume results to-date. Moving to downstream, our Logistics and Marketing division operating margin for the second quarter of 2015 was slightly higher than the same time period last year. As for full year 2015, I guess we reaffirm our guidance of Logistics and Marketing division operating margin may be modestly lower than 2014. In the second quarter, we exploited approximately 5 million barrels per month of LPGs, which was 3% higher than the second quarter of 2014. Demand for LPG exports has been impacted by global commodity prices in the tight shipping market, but we are seeing continued demand for short and long-term contracts and we have continued to add contracts for the second half of 2015 and beyond. We expect our LPG export activity levels to be at or above Q2 volumes for the remainder of the year. Given our contract portfolio, current market dynamics related to commodity prices shipping constraints and increased competition, we expect overall second half LPG export operating margins may approximate what we have seen so far this year. Across our other businesses, we have worked hard through the first two quarters of the year to reduce operating expenses, especially in the field GMP businesses without sacrificing safety or preventative maintenance and while still meeting customer needs for growing volumes. With the inclusion of TPL and the addition of assets throughout 2014 and early 2015, and because fuel and power consumption are included in expenses, it’s difficult to see the savings in our reported numbers. When we look at our internal numbers for full year 2015, we currently expect field GMP operating expenses to be approximately 8% lower than our budgeted expectations despite the increase in volumes we have been experiencing being gathered in process. Our performance in the second quarter highlights the diversity and resiliency of our business mix. There were some pluses and minuses, but overall it was a strong performance quarter in the context of weak commodity prices. Given the first two quarters of distribution announcements at TRP, our 2015 distribution growth over 2014 is likely to be towards the lower end of our 4% to 7% distribution growth guidance. At TRC, we continue to expect 25% or better dividend growth in 2015 over 2014. That wraps up my initial comments and now I will hand it over to Matt. Matt?
Matt Meloy: Thanks, Joe Bob. I’d like to add my welcome and thank you for joining our call today. As Joe Bob mentioned, adjusted EBITDA for the quarter was $303 million compared to $229 million for the same period last year. The increase was driven by the addition of the TPL assets, which are reported in our field GMP segment. Overall operating margin increased 17% for the second quarter compared to the same time period last year and I’ll review the drivers of this performance in the segment reviews. Net maintenance capital expenditures were $28 million in the second quarter of 2015 compared to $20 million in the second quarter of 2014 driven by the inclusion of TPL operations offset by some of the cost savings Joe Bob discussed across all of our operating areas. Turning to the segment level, I’ll summarize the second quarter performance on a year-over-year basis, and we will start with our downstream business. In our Logistics and Marketing division, our second quarter operating margin increased 1% compared to the first quarter 2015 driven by partial recognition of the payment received from Noble related to our condensate splitter project, increased terminaling and storage activities and higher fractionation volumes. Fractionation volumes increased by 3% versus the same time period last year and overall operating margin from fractionation was down slightly as a result of lower system product gains and higher maintenance cost. We loaded an average of 5 million barrels per month of LPG for exports and second quarter 2015 operating margin from LPG exports was approximately flat compared to the same time period last year. In our Gathering and Processing division, our Field Gathering and Processing segment operating margin increased by 41% compared to last year largely driven by the inclusion of TPL. Second quarter 2015 natural gas plant inlet volumes for the Field Gathering and Processing segment were 2.67 billion cubic feet per day, 195% increase compared to the same period in 2014. The overall increase in natural gas inlet volumes was due to the inclusion of TPL volumes in West Texas, South Texas, SouthOK and WestOK and increases in each of the following business units, 34% at SAOU, 23% at Badlands, 9% at Versado and 7% at Sand Hills. Inlet volumes at North Texas approximated second quarter 2014 levels and as Joe Bob mentioned, we are impacted by severe flooding conditions and subsequent impacts that affected the area throughout the spring. Crude oil gathered increased to 106,000 barrels per day in the second quarter, a 27% increase versus the same time period last year. For the Field Gathering and Processing segment, commodity prices were down across the board, with NGL prices decreasing by 52%, condensate prices decreasing by 47% and natural gas prices decreasing by 45% compared to the second quarter of 2014. Our hedging activities, which mitigate a portion of these price swings are included in our other operating segment. In our Coastal Gathering and Processing segment, operating margin was down 70% in the second quarter of 2015 versus the same time period last year as Gulf of Mexico and Onshore Gulf Coast volumes continue to decrease. Let’s now move to capital structure, liquidity and other matters. As of June 30, we had 878 million of outstanding borrowings under the Partnership's 1.6 billion senior secured revolving credit facility due 2017. With outstanding letters of credit of 21 million, revolver availability was about 702 million at quarter end. Total liquidity, including approximately 86 million of cash on hand, was about 787 million. At quarter end, we had borrowings of 124 million under our 300 million accounts receivable securitization facility. Year-to-date, we have received net proceeds of approximately 375 million from equity issuances, including general partner contributions. For April through July, we received approximately 263 million of net proceeds from asset market equity issuances and obliged $316 million in net proceeds under the ATM equity program year-to-date. On a debt compliance basis, which provides us adjusted EBITDA credit per material growth projects that are in process but not yet in complete and makes other adjustments, TRP’s total compliance leverage ratio at the end of the second quarter was 3.8 times. Next, I’d like to make a few comments about our fee-based margin, hedging and capital spending programs for 2015. For the second quarter of 2015, our operating margin was 72% fee-based. For 2015, we now expect at least 70% of our operating margin to be fee-based. Since the end of the first quarter, we continue to layer on hedges using costless collars and swaps and for our current estimate of equity volumes from Field Gathering & Processing, we estimate we have now hedged approximately 70% of the remaining 2015 natural gas, approximately 60% of the remaining 2015 condensate and approximately 30% of remaining NGL volumes. For 2016, based on our estimate of our current equity volumes, we estimate that we have hedged approximately 45% of natural gas, approximately 35% of condensate and approximately 15% of NGL volumes. Moving on to capital spending. We continue to estimate approximately $700 million and $900 million of growth in capital expenditures in 2015, which includes ten months of CapEx related to the TPL systems. Next, I’ll make a few brief remarks about the results of Targa Resources Corp. Targa Resources Corp stand-alone distributable cash flow for the second quarter 2015 was $52 million and TRC declared approximately $49 million in dividends for the quarter, resulting in dividend coverage of approximately 1.1 times. On July 21, TRC declared a second quarter cash dividend of $0.875 per common share or $3.50 per common share on an annualized basis, representing approximately 27% increase over the annualized rate paid with respect to the second quarter of 2014. As of June 30, TRC had $460 million of outstanding borrowings and $210 million of availability under TRC’s $670 million senior secured credit facility and $160 million of outstanding borrowings under TRC’s senior secured term loan resulting in about 2.6 times debt compliance ratio. At TRC, we continue to expect 5% to 10% effective cash tax rate for 2015 and in the near term beyond 2015 and effective cash tax rate of less than 15%. That concludes my review and I’ll now turn the call back over to Joe Bob.
Joe Bob Perkins: Thank you, Matt. Five months have passed since we acquired TPL. We really like the assets, our people are working as one team and the target team is continuing to mine opportunities across our combined footprint. We are working on connecting West Tex and SAOU later this year, enhancing options for producer customers and allowing us to spend capital even more efficiently with West Tex, SAOU and Sandhills connected together in the Permian Basin. These interconnections, you will recall that we connected SAOU to Sandhills last year for buy more flexibility to meet customer needs and to access existing capacity for growth. Along with the connection of West Tex and SAOU, we may also restart the idled 45 million cubic feet per day Benedum Plant in Upton County. These projects do not require much capital. Given that we are operating at near capacity in the Permian Basin, the flexibility associated with connecting existing systems and existing plants and having an idled plant to restart is very valuable. We also expect to complete the Buffalo Plant in Martin County in 2016 with timing dependent on volume growth. We can have that plant completed and running in six months, six months after we make the decision with our joint venture partner, Pioneer Natural Resources to go ahead with the final stages of construction. Similarly, activity around our Versado system in the western part of the Permian Basin continues. We are adding another compressor station and lined a new 16-inch line to better access available capacity at our Monument Plant, serving additional volumes from the Delaware Basin to the Southwest. This is an example of capital spending that isn’t significant enough to be a single line item on our published CapEx projects, but it is a capital well spent given the returns associated with bringing new volumes to an existing plant that has available capacity. In the Badlands, we are making solid progress in securing right-of-way to lay pipe on reservation lands, which will allow us to secure volumes from wells that have already been drilled. Due to time required to move from right-of-way acquisition to approval to construction, this progress will likely not impact volumes until late this year or in 2016. Our little Missouri 3 plant came online in the first quarter and we’re continuing to see natural gas volumes increase to more than 50 million cubic feet per day in July. At the same time, crude oil volumes also ticked higher in July to more than 110,000 barrels per day. Given crude prices to-date, we have seen a significant decrease in rig activity in the broader Bakken and in the number of well permits filed in North Dakota. If you look at our systems across Mckenzie, Dunn and Montreal Counties, we’re positioned in one of the most active areas of the basin, as evidenced by the number of rigs running around our system relative to the rest of the basin. The right-of-way progress on the reservation is particularly important because it will allow us to lay previously delayed pipe and capture volumes that will support our system in 2016 and beyond. We’re now seven months through a roller coaster year related to prices for crude and NGLs, where in the second quarter alone, Mont Belvieu propane prices, for example, moved from a high of $0.58 per gallon in April to a low of $0.31 per gallon in June and we’re at about $0.36 per gallon as of yesterday. During such times of price volatility, interconnected flexible facilities including LPG storage can become increasingly valuable. We’re optimizing the use of our facilities for customer and target business mix. As domestic production has increased this year, we’ve seen continued demand for fractionation services. Construction on train pipe continues and it should be in service mid-2016. We’re also through the first public notice period related to our Train 6 permit with a similar size and scope as Trains 4 and Trains 5. We continue to work closely with Noble as they neared decision point on determining whether to move forward with a new terminal at Patriot, a condensate splitter at Channelview or some combination of both projects. Subject of final project scope and permitting, we would expect that the splitter or terminal or both projects would be operational in 2017. In closing, we have been operating in an uncertain environment and I’m incredibly proud of our execution across the Targa footprint in the second quarter. We cannot control commodity prices but our day-to-day focus is on safety, meeting customer needs, cost savings and efficiency of capital spending, without sacrificing customer service or ignoring low cost options, which may benefit Targa in the event of increased activity in the future. Continued execution across our well positioned diversified asset base has resulted in a strong first half for Targa. There is upside potential in the balance of the year, most obviously from the following. First, tailwinds associated with potential improvements in commodity prices from our current levels. Secondly, in the field, achieving volumes that are greater than expected from existing production, continued success competing for takeaway gas and efforts to continue to drive costs lower. And third, improving LPG export volumes and/or LPG export unit margins from our expected levels, perhaps as the market benefits from additional vessels coming online in the back half of the year. Targa’s strong execution performance in the first half of the year is driving quarter-over-quarter distribution and dividend growth, consistent with our expectations for the year and we will continue to execute in the second half of the year. With that, let’s open up the line for questions, operator.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Matthew Phillips of Clarkson. Your line is now open.
Matthew Phillips: [indiscernible].
Joe Bob Perkins: Hey, good morning.
Matthew Phillips: A quick question on the hedge book. You have an add-back on DCF of $24.8 million. I was wondering how that squares with the $17.1 million in gross margin on the commodity derivatives activity?
Joe Bob Perkins: Yeah, sure, good question. The $17.1 million in the other operating margin is essentially a legacy Targa or existing Targa hedge add-back. The TPL hedges in acquisition accounting were put on the book with fair value and so, as we collect those proceeds, it’s not hitting the income statement. So, we’re adding back the cash received in a quarter as those contracts settle. So, you’ll see that on a quarterly basis as we essentially receive the cash from the TPL hedge book.
Matthew Phillips: So, the TPL hedges are added back whereas the legacy Targa hedges are on the income statement?
Joe Bob Perkins: Yeah. They’re already in there. Yes.
Matthew Phillips: Okay. Great, thanks. And then moving on to LPG exports, you’ll add about 15% decline from 2Q - from 1Q and 2Q. However, looking at the vessel data, it looks like July was a record month for the U.S. Can you confirm if you’ve seen an uptick in July exports and what that might mean for margins?
Matt Meloy: We have seen some continued - I’d say seen some strong activity here thus far third quarter. As Joe Bob said, there were - we would the back half of the year to approximate Q2. Things might get a little bit better for us but that’s kind of what we’re seeing right now.
Matthew Phillips: Approximate to Q1 on a margin basis or both?
Matt Meloy: What we said was approximate Q2 for the back half of the year on a volume basis. I’d say, we’ve seen things a little bit stronger than we had in the previous few months, but we expect volumes to kind of approximate the second quarter.
Joe Bob Perkins: We also said that performing better than that was a potential upside and we said that our guidance continue to remain for the downstream to perhaps be modestly lower in 2015 than 2014. We like to outperform expectations.
Matthew Phillips: Yeah. Well, I mean margins from this have fallen off since 4Q, the past two quarters. But I mean, if volumes are coming back, I would think that might give you a little margin strength. Is that reasonable?
Joe Bob Perkins: I think we’ve kind of trying to relate it all.
Matthew Phillips: Okay, thank you.
Operator: Thank you. And then the next question comes from Sunil Sibal of Global Hunter Securities. Your line is now open.
Sunil Sibal: Hi, good morning guys, and congrats on a good solid quarter.
Joe Bob Perkins: Thanks, good morning.
Sunil Sibal: A couple of questions from me. In terms of the LPG export volumes that you saw second quarter, is it fair to assume they were all primarily contracted volumes or you had some spot volumes in there too?
Joe Bob Perkins: We haven’t given a detailed breakout of what is spot and what is contractive. I would say, we have seen as we’ve continued to over the previous quarters, a significant portion of our volumes loaded or contracted but we were able to load some shorter-term or spot cargos as well in the second quarter.
Sunil Sibal: And then on the hedge book for 2016, seems like on NGLs, you maintained your hedge positions from the first quarter. I was wondering if you could give us some - in terms of your thought process on that and what levels you feel comfortable hedging that ex-player?
Joe Bob Perkins: Yeah. We have layered on some hedges. In the first quarter, we layered on some hedges, in the second quarter, we actually layered on some additional hedges here early in the third quarter. We’ve added some costless collars, we’ve added some swaps for the various products, crude, NGLs and natural gas. In this environment, I don’t think we’re looking to kind of catch up to get back to those targeted levels all that once but we do continue to take a disciplined approach to try and continue to layer on some amount of hedges where it makes sense.
Sunil Sibal: Okay. And then lastly, some of your producer customers have been pretty vocal about economics of drilling even in the wake of this commodity price weakness. I was kind of curious does that jives activity levels you are seeing in your assets?
Joe Bob Perkins: We obviously read the same public statements and then we have communications that aren’t public. I would say that our broader knowledge is consistent with the public statements of our customer base and we even referenced in our comments that, for example, some producers intent to increase their activity levels at, for example, $60. We are encouraged by the activity levels to-date, but we are not very good at predicting prices.
Sunil Sibal: Okay, that’s very helpful and that’s all I had. Thanks guys.
Joe Bob Perkins: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Brandon Blossman of Tudor, Pickering, Holt & Company. Your line is now open.
Brandon Blossman: Good morning, guys.
Joe Bob Perkins: Good morning.
Brandon Blossman: Follow on to the gathering and processing throughput volume, so the comment was 3% to 5% up ‘15 over I believe Q4 ‘14.
Joe Bob Perkins: Yes.
Brandon Blossman: Is that just producer - your current customer base’s volume increase or is there some presumption of market share - incremental market share grab there?
Joe Bob Perkins: The actuals achieved to-date have been both. We tend to be conservative about our projections going forward. I would like to believe that we continue to benefit from takeaway gas, but we haven’t overestimated that.
Brandon Blossman: Okay, fair enough. I will try the LPG export at slightly different angle here, is there anything in the back half of ‘15 into ‘16 that would point to your volume throughput being different than kind of the US in total numbers as we see those data - that data role out?
Joe Bob Perkins: I am not sure we’ve got a real good projection of forward US data. We’ve got a pretty handle on how our volumes are likely to behave and we’ve built that into our comments in the answers to the last question.
Brandon Blossman: Okay, fair enough. And then more discretely, on a per unit basis, GMP OpEx looks like it’s trending down very nicely over the last two or three quarters. What should we expect as far again on a per unit basis the trajectory through the back half of ‘15 on that metric?
Matt Meloy: We are going to continue to work on maintaining the cost reductions that we’ve achieved and realizing additional cost reductions. I don’t have a prediction for you in terms of a percent trend, but the efforts are going to continue and our people are very focused on it.
Brandon Blossman: So, flat to down is a fair takeaway there?
Matt Meloy: We are pleased with the downward trend that we can see from our internal numbers and that are harder for you all to see from reported numbers despite increases in volumes and that’s pretty extraordinary in the gathering and processing patched. And with expected continued growth for 2015 in those important areas we still expect to do so without increasing our cost.
Brandon Blossman: Okay, awesome. Thank you very much.
Operator: Thank you. Our next question comes from the line of Darren Horowitz of Raymond James. Your line is now open.
Darren Horowitz: Joe Bob, couple of quick questions on field GMP and I appreciate the comments around the plus 3% to 5% overall volume growth even that of what’s going on in North Texas, but what I am more concerned about is the margin expectation to the extent that you can comment, I am just trying to get a feel for the lower operating expense, expected to continue through the back of this year. With the regard to the aggregate impact on gross operating profit for field GMP, how much lower or what’s the variability in terms of your back half of ‘15 margin versus what you’ve already experienced in the first half of ‘15?
Joe Bob Perkins: As we look second half versus first half, we expect to achieve similar or better. I think that’s about as precise as I can be.
Darren Horowitz: Okay. Let me jump over to North Texas, specifically the amount from a contractual perspective, POP contracts, I think previously you had said it’s somewhere around 30% of the 2015 margin was going to be POP and a lot of that was really around North Texas. I am just curious, now that you’ve got half of the year behind you and you are looking forward with the TPL assets, what’s that level of expectation for POP exposure in the back half of this year and then into ‘16? And from a re-contracting perspective as maybe you think about shifting some of that exposure to a more fee-based composition of cash flow, how do you think about the margin degradation maybe being offset by volume improvement or cash flow security?
Matt Meloy: Hey, Darren, it’s Matt. I want to talk just about North Texas just to clear one thing up there first. The North Texas is a POP business up there, so we do have some fees kind of embedded in those contracts whether it’s gathering or compression or others, but we think of North Texas as POP and we don’t really see that changing as we come back of this year and into 2016.
Darren Horowitz: Okay. And then last question from me and Joe Bob, again I appreciate it being difficult to predict crude oil prices, we struggle from the affliction. But I am wondering just with regard to the balanced assets McKinsey down in Montrose counties right, like a lot of that hinges not just on the absolute price but on the discount to TI, because I think that’s probably where the greater challenge is. So what are producers telling you just from a net back perspective in terms of where the cash price gets more economic?
Joe Bob Perkins: As opposed to me describing what producers are telling me and not telling the public, what I can see is activity at the price levels that we’ve seen since the first of the year and that activity as you know isn’t driven by the spot price in the particular month, but their outlook for those prices. It’s one of the best oil basins in the world. The differentials as a percentage have moved around since the first of the year.
Darren Horowitz: Thank you.
Joe Bob Perkins: That’s about as best we can describe. And like we said, we have several reasons in the Bakken to be optimistic about volumes even at low North Dakota activity levels. The activity levels around our system are better and given the activity levels around our system, we still have some backlog of volumes that we are going to be getting to, thanks to progress on right of way on the reservation. That’s going to take us a little while and thanks to the progress at the Little Missouri 3. The Little Missouri 3 plant provided for helping to put out players and meet customer needs of gas production that was already there and not being captured.
Operator: Thank you. And our next question comes from the line of TJ Schultz with RBC Capital. Your line is now open.
TJ Schultz: Hey, good morning.
Joe Bob Perkins: Good morning.
TJ Schultz: On field GMP volumes, I guess just questions on 2016, I think the optimistic outlook that you guys kind of commented in the remarks, is that just a fact that you are likely to have a better beginning level or is there something specific maybe you guys gleaned here more recently with the swing and grew to 60 and now back down that gives you more optimism maybe about producer activity kind of within this oil range that we have been bouncing around?
Joe Bob Perkins: Our feeling a bit better about it has to be in the context of lot of those things you just mentioned, but it wasn’t kind of the short term movement in prices. Number one and the primary reason is volumes have performed better than we expected despite prices over the first half of the year. If you took our last quarter call, for example, spot prices and forward prices are lower than our last quarter call, but given those prices, the volumes have exceeded our expectation. So the volume to price relationship is important in our feeling a bit better. And then, yes, the US data around supply and demand and a break over on crude volumes which occurred a little later than we thought it would, I think works into the mix as you referenced. But that primary thing and we try to say it as we feel a bit better because volumes have done a bit better in spite of pricing.
TJ Schultz: Okay, thanks. On exports, I think you said you are adding contracts, just any color on the appetite for short term versus long term contracts and then also just any update on constraints that ship availability is having for you guys through the rest of the year?
Joe Bob Perkins: We’ve guided both since our last call. We are more contracted than not contracted in the near term. We know that ship constraints are a factor. Our ability to predict exactly how fast those additional ships come on or where they come on is not as good as other analysts out there, but we know our customers have felt the ship constraints. We sort of gave you an expectation and then also pointed to it as a potential upside relative to our overall expectations.
TJ Schultz: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Jeremy Tonet of JPMorgan. Your line is now open.
Jeremy Tonet: Good morning.
Joe Bob Perkins: Good morning.
Jeremy Tonet: Congratulations on the good quarter there. Just I had a question on the TPL hedge book. It came in a bit stronger than what we were anticipating. So just want to see if you have static commodity price environment, whether the pace of cash gains is going to be stable through ‘15 or if it is more front half of the year weighted.
Matt Meloy: So we will be filing the Q here shortly and it will have an update of all the hedges that we have on, so it really depends on your commodity price expectation for the amount of cash that we will receive in any quarter.
Jeremy Tonet: Exactly, I was just curious if there was - the contracts were more weighted to the first half versus back half for the TPL hedges you picked up?
Matt Meloy: Yeah, we will have less amount hedged and at lower prices kind of generally as we go through time. So I think that’s a fair assessment.
Jeremy Tonet: Got you. I appreciate that. And Joe Bob, want to touch on some of the things you are seeing before I know it’s a very difficult question, but I am just wondering system-wide, if you are looking at the futures curve, is there a number in your mind where you feel good about continued growth? Is 16, is that 50 versus 60, is there any goal posts you could give us there as far as how you think the target assets would react in when you’d see growth?
Joe Bob Perkins: Well, I wish I was that smart. I think I kind of admitted already that our first of year expectations, volume connected to price, volume was a little better than the price connection. I don’t have a magic milestone or goal posts for you out there.
Jeremy Tonet: Fair enough. Just one last one from me. As far the Noble payments around the splitter, I was just wondering for modeling purposes does that stop at a period of time, should we be taking that into consideration.
Matt Meloy: Yeah, it stops in the third quarter, partly through the third quarter.
Jeremy Tonet: Got you. And is there anything material that we should know just so we don’t overestimate there?
Matt Meloy: Yeah, good question. We haven’t’ given the specific number, so it’s going to be tough for you to triangulate. I will just say it’s not large enough so we had to disclose it as a dollar amount variance
Joe Bob Perkins: And we only disclose what we have to disclose as we put that out when we first - recognize we have confidentially - we’ve first of all good relationship with Noble and we have confidentiality requirements. Those confidentiality requirements say we disclose what we have to report and we spend a lot of time with accountants to make sure we got that right.
Jeremy Tonet: Fair enough. Makes sense. Thank you for the color.
Operator: Thank you. Our next question comes from the line of Schneur Gershuni of UBS. Your line is now open.
Schneur Gershuni: Hi, good morning, guys. I was wondering if we can expand on the integration process with Atlas a little bit. It sort of sounded like if I heard correctly that you might be seeing some very large capital efficiencies. I believe you said at one point that you’ve got a plant that you can start up and connect and so forth. I was wondering if you can sort of lay that out for us as to how that could possibly impact margins on a go-forward basis. Is there lot more opportunities like this where you can have capital efficiencies or I guess capital avoidance and start pickup volumes? Does your margins further expand with capacity utilization picking up? I was just sort of wondering if you can sort of expand on that a little bit for us.
Matt Meloy: I certainly understand the question. Five months have passed since we did the acquisition. Assets are terrific, particularly in the Permian Basin mix terrifically with our existing assets. People are working as one team, one target team for target bottom line. We did sort of give early conservative synergies to you all which makes you want more and I understand that. You’d like more detail, you’d liked the variance analysis against the plans. What’s really going on is we want to have a separate report of the progress on those synergies instead, the way we are managing it, the way we are working it, as those become embedded in our results. It’s one of the ways we’ve kind of outperformed our expectations and it will continue to be. You pointed to a couple of the factors and we alluded to them. When you combine those systems, you have capital efficiency opportunities, you have the opportunity that we’ve always had but even more so of getting gas to available capacity and we started up idle plants throughout our whole history, it’s just another opportunity to do so for the benefit of the combined system. Hope that’s helpful but I also know it’s not exactly what you wanted.
Schneur Gershuni: Maybe I’ll ask this a little differently. Classic analyst question, ex-commodity impacts, I mean the commodity is going to move up and down and so forth, but should we expect the IRR on capital deployed at least over the next six to nine months to be significantly higher than it has been in the past or so differently, should we see ex-commodity impact margins improve just as you’re able to take advantage of these capital opportunities, is that a fair way to be looking at it?
Joe Bob Perkins: I understand that question and it’s an easier question to address than the question from like last quarter, are your IRRs going to go down in this environment. In reality, when we’re working hard in this environment doing a lot of smaller projects taking advantage of the low hanging fruit, benefiting from takeaway gas with small expenditures, those returns are very attractive, okay, they’re very attractive, they need smaller dollar amount and that’s showing up in our bottom line. I like expanding on the answer to your question because it works against kind of hypothesis which is not, we’re not seeing as the case that our returns are going to go down. We may not be spending this larger chucks of dollars, which is good and proper in this environment to takes those and defer them until needed but the dollars we’re spending are getting attractive returns and I think that flows to our bottom line.
Schneur Gershuni: Okay, now that’s actually a great answer. As a follow-up to all the questions about your positive outlook with respect to the Permian, I think you started off by saying hey; we were surprised on the volume side, so therefore we’re sort of carrying it through and so forth. I was wondering if maybe you can expand a little bit as to why the volumes are outperforming expectations. Is it producers using better completions, are they targeting better wells or they’re drilling more wells than you initially thought and I was just wondering if you can sort of carry that through as to why the volumes have actually been performing better or not, if that’s a bad thing and as to why that will continue to be the case over the next six to nine months.
Joe Bob Perkins: First of all, kind of the last factor, it’s not because they’re drilling more wells than we thought, not appreciably to any extent. But it is a combination of some of the factors you mentioned and some others. I would start with their drilling with a more limited budget in the best spots and their technology has improved such that the best spots are more productive than they have been in the past. And those best spots are where our systems are and that to a great extent and that’s the reason for us having underestimated it. Maybe we’re too conservative, I’m not terribly surprised but it is a pleasant surprise on the margin for the volumes to be outperforming where the prices have been. Secondly, we have been successful because we are working hard, willing to selectively spent capital and have a very good reputation with customers out there that we’re winning packages of gas that are coming up for renegotiation on the margin. And strong competitors do that during tough times, those two factors maybe a little bit of when you have a little less activity and you’ve been working to catch up all along and get pressures down where you want them to be in the field that benefits our customers and it benefits us on volumes. Those are kind of the three areas that are in my head and it’s not because drilling was a lot higher.
Schneur Gershuni: So weaker competitors with poor balance sheets are basically at disadvantage, right relative to somebody like yourself, is that a fair way to think about the volume or market share comment.
Joe Bob Perkins: I think I had put it a little softer than that. It’s not just the balance sheet; it’s also the reputation for customer service.
Schneur Gershuni: Okay, great. Alright thank you very much, I really appreciate all the color.
Operator: Thank you. Our next question comes from the line of Michael Blum of Wells Fargo. Your line is now open.
Michael Blum: Hi, thanks, I’ll try to be brief here. Just curious for what you’re seeing from the impact of ethane rejection, is there has been any change in the way you’re running your plants?
Joe Bob Perkins: For running our plants, we’ve looked at that every day and we’re doing more not less ethane rejection where we can.
Michael Blum: Would you say that’s from what you see out there from other volumes that are coming to your system, is that sort of consistent?
Joe Bob Perkins: Yes, broadly so. We see a lot of pipelines as you know coming into our CBF fractionation facility. And certainly across the board you would characterize it as getting lower on ethane content meaning that more ethane is being rejected.
Michael Blum: Okay, great. And then, you gave some pretty good updates on the various projects that you have in the backlog or the potential backlog. So it is fair for me to just take away from that that effectively you’re still seeing pretty good demand for incremental projects, we haven’t seen any really material change which I think is something that a lot of people are thinking about.
Joe Bob Perkins: Our backlog is a list of those defined projects that people have seen in the permitting process or customers have talked about us working on for the most part. There is not a decrease demand for any of them, as we said really back to the first year; it’s a matter of when not if for almost all those projects. Increasing NGLs coming into Mont Belvieu continue, they’re coming a little bit slower than we might have expected in the early part of 2014 but demand is still there back to that, when, not if.
Michael Blum: And then, Matt I apologize if I had missed it, because I was writing quickly. Can you just repeat what was the Q2 ATM equity issuance?
Matt Meloy: Yeah, I said that in the script, I think it was $263 million and that also includes July, which I think I’d - it will be in our queue as a subsequent of that about $23 million or something.
Michael Blum: Okay, great. Thank you.
Joe Bob Perkins: That includes the GP stuff?
Matt Meloy: That was ATM, so the GP amount is a separate number we gave, which we also put in the queue. That’s why my number was so high.
Operator: Thank you. Our next question comes from the line of John Edwards of Credit Suisse. Your line is now open.
John Edwards: Yeah thanks for taking my questions. Back to the LPG export, just asking it a different way, I think you said there was a mix of spot and contracted, would it be fair to say the majority is contracted.
Joe Bob Perkins: [indiscernible] setting a record, I’m trying to drill down on that. I know that some of our competitors may give more details than we do on our export volumes and our mix of contracts, but we’re really making a competitive decision on how much we want to say for the good of our unit holders and the good of our shareholders. So I appreciate you drilling down but --.
John Edwards: Okay. Fair enough.
Joe Bob Perkins: If the mix is correct, there is a mix. Yes.
Matt Meloy: The thing I wanted to make sure we take away, as we have said the majority of our volumes are on contracted volumes, because I don’t want you to take away that the majority is short term or spot con.
Joe Bob Perkins: Sounded to me like we’re trying to figure out, if on the increment that was added what was the percentage of increment.
John Edwards: No, no, no, okay. Alright fair enough. And then just kind of extending some of the earlier questions asked but you have expressed optimism in 2016 based on the volumes that have materialized so far and I was just curious to what extend pricing might impact that optimism. If we stay in this sort of sustained price environment that we’re currently in rather than the improvement that a lot of people are calling for, I’m just wondering, how would that temper your optimism if at all, I mean, as perhaps people are responding to things based on price expectations going forward not the current sloppy environment that we’re in.
Joe Bob Perkins: Our feeling a bit better about the volume outlet for the remainder for the year and for 2016 is not based on looking at a single case or a single - it’s based on us looking at multiple forecasts related to multiple pricing and what we think is likely. The most important thing that we are communicating is that our volumes and our volume outlook at whatever price scenario we’re looking at has done better, it did better against the actuals, which actually were lower prices than we expected and going forward in price environment that’s flat for today, are volume feeling would be better than it was at the beginning of the year for that same price outlook. And if you get to the higher price outlooks, would have volumes greater than we expected for higher price outlooks. Does that make sense to you? Otherwise we’re trying to predict the prices and I’m not trying to predict the prices.
Operator: Thank you. Our next question comes from the line of [indiscernible]. Your line is now open.
Unidentified Analyst: Thank you. Congratulations on a good quarter in a tough market. If we could just continue on the volume question for just one second if I could because I haven’t pretty kind of addressed this and I understand your cautious outlook on volumes and you’re pleased with the way things came in but in terms of just a forward look, anyway to talk about what the weather impact for this quarter in terms of your volumes?
Joe Bob Perkins: This quarter’s weather impact was primarily a North Texas and we pointed to it because it was a fact in some of the producers in the area have pointed to it. It’s difficult to extract, we might have been flat quarter-to-quarter in North Texas if it weren’t for the weather impact, I don’t know that for a fact, I do know that I project where we are and where we’re going and it was appropriate to signal that unless there is some bump due to price, North Texas is likely to continue to decline not dramatically but continue to decline. When we said weather impact, it was not just the flood, it was the impact post flood on electricity connections even some washed out pipelines that took a while to repair primarily on the electricity side because they just didn’t have the cruise to take care of everything it wants and some of them more remote locations didn’t get taken care for a quite a while.
Unidentified Analyst: Thank you very much. On the terminaling and storage fees, there was some incremental, is there more to be reprised or is there any additional color you can give there?
Matt Meloy: I think that comment Joe Bob referred to is just an environment where you have some contango in the forward curves, as storage becomes worth more and there are some opportunities for additional income.
Unidentified Analyst: And then the last one from me, on your coastal plants, is there any outlook for idling any more plants there or shall we assume that’s done?
Joe Bob Perkins: The consolidation of the coastal straddle has been going for in many ways much of our career. We’ve said before that Target is well positioned to benefit from those consolidations. We have one of the strongest positions we like to call it a catcher’s mitt and as less efficient plants are idled we tend to capture a lot more than our share of the remaining gas and I just want to credit the people working the coastal gathering and processing for figuring out ways to save dollars make more money with less volumes get richer gas when it’s available and the producers are working to get richer gas. It’s a small part of our operating margin but boy did they work hard to keep that small part as high as possible.
Unidentified Analyst: Thanks very much.
Operator: Thank you. Our next question comes from the line Faisel Khan of Citigroup. Your line is now open.
Faisel Khan: Thanks its Faisel from Citigroup. Just a few questions from your press release, the condensate pricing were different quite substantially from field gathering from the coastal gathering systems and that difference was sort of wider in the quarter versus last quarter and even on a percentage basis versus last year. Can you kind of discuss what’s going on there, is that a quality differential, is that sort of a real transportation differential, it just seems a little bit wide even looking at WTI versus LLS [ph]?
Joe Bob Perkins: Yeah. Coastal is usually different than the field, it gets priced more of LLS, so if you look at the differentials from where we’re picking up that coastal of a field relative to the LLS which is typically a track closer to Brent. So it’s just those various differentials, I will say that the condensate does not have a big impact on our operating margins. So it’s not something that we focus a lot on. But it is due to this impact.
Matt Meloy: And occasionally there are quality differentials that might impact a single quarter. It’s - we market it the best we can, relative to supply and demand in the localized markets.
Faisel Khan: I’m just - because the differential has obviously narrowed in the quarter, so I just want to understand if maybe there is a constraint there, in the, I guess your field gathering system?
Joe Bob Perkins: No. I don’t have. I think we’re more talking about market dynamics than anything.
Faisel Khan: Okay. Fair enough. And then in your press release, you guys mentioned that the fractionation results were sort of impacted by lower system product gains, can you discuss exactly what that means, is that just you talking about rejecting ethane or you’re talking about sort of
Joe Bob Perkins: It really has more to do with our Mont Belvieu complex and volumes going through our fractionators. There are opportunities to blend the various products at the back of our fractionators before we sell those spec products to market, so there are pluses and minuses throughout the system and those amounts vary from quarter-to-quarter.
Faisel Khan: Okay. And then also you guys discuss in your results also lower refinery LPG supply, I would have thought with refiners sort of running all out in the quarter that LPG supply would have been up over the quarter, but because you’re talking about it being down, I didn’t sort of understand that dynamic too?
Joe Bob Perkins: I understand directionally what you’re describing, but what we always see in practice is about the time we think we’re going to be getting higher supplies from refineries, we don’t. It is pretty difficult to predict what we’re really good doing as managing it in the short term to do the best with what we get. There were some refining downtimes on the west coast, don’t really want to point or pick at any particular customer, but that shows up in our overall results.
Faisel Khan: Okay. So did you guys have access to the California refining LPG?
Joe Bob Perkins: Yeah. Some of those are our customers and what we also know on the margin is that not just pointing to West Coast, some refinery customers have actually used some of those products as fuel on the margin. So it’s a difficult trend to track, but we are as very opportunistic in adding that refinery services business to the overall propane wholesale marketing business.
Faisel Khan: Okay. And then last question from me, on your hedges, just want to make sure, is there a lag effect from the hedges or is it, as you guys show the volumes in the quarter, those volumes sort of are represented through your hedge contracts, I mean there is no difference from quarter to quarter, how to recognize that?
Joe Bob Perkins: No, there is no lag. The cash comes in for the month that we’ve had, we’ll recognize that as either income or we’ll put it as an addback in the cash flow statements to the extent the cash is received.
Faisel Khan: Okay, makes sense. Thanks for the time. Appreciate it. Operator Thank you. Our next question comes from the line of Chris Sighinolfi of Jefferies. Your line is now open.
Corey Goldman: Hey, guys. Corey Goldman for Chris. Just a quick question, sorry to go back to Noble really quick, what is the threshold, I had a curiosity for what you have to disclose?
Joe Bob Perkins: Sorry. Good try. I understand the question. I can’t answer, and by the way, absent the Noble contract, I’m not sure that I would get a concrete answer from our internal accountants or auditors anyway, they sort of know it when they get there and at some point, we say okay, I think I understand and we report accordingly.
Corey Goldman: Got it. And I guess just to dovetail in that, I’m assuming because you’re recognizing revenue before any things in the ground yet, do you assume the projects that go, just had a curiosity, what would be the impact to you guys positive or negative, if the project is a no go?
Joe Bob Perkins: I’m not prepared to discuss that either. What we said when we announced the deal is that relative to the original channel view splitter agreement, we were not economically disadvantaged by renegotiating the agreements and that’s all I can say.
Corey Goldman: Okay. That’s helpful. And then just the last question for me, and I apologize if I misunderstood what you said, I think you said with respect to contracts, you’re more contracted than non-contracted in the near term, that implies let’s call 3.25 between, just wondering how you compare that what you said last quarter about more than 4.2 million, is it 1 million barrels a month for ‘15 and then around 4.2 million a month in ‘16?
Joe Bob Perkins: Okay. Just to be clear, we didn’t say, we said more which is greater than half, so we’re not saying we’re more or less in that previous number that we gave, we just said we’re not going to kind of get in to the dialing in the exact amount that we’re contracted in the exact amount of spot. So I wouldn’t read from that that we’re less.
Corey Goldman: Okay. So you can’t reiterate if you’re in line with the 4.2 million about a month in 15?
Joe Bob Perkins: Oh, I could but I’m not going to.
Corey Goldman: Okay. I appreciate it.
Operator: Thank you. Our next question comes from the line of Gregg Brody of Bank of America Merrill Lynch. Your line is now open.
Gregg Brody: Hi guys. Just a quick one for you. I think you mentioned when you gave your hedge numbers for the NGLs that you were 80% hedged in ‘16, versus 30% for the rest of this year, did I hear that right and if I did, what’s the…?
Joe Bob Perkins: No, we’re not 80% hedged, I think for ‘16 for NGLs, I think I said 15%.
Gregg Brody: 15, then that would explain what I misheard, that’s perfect. Thank you, guys.
Operator: Thank you. Our next question comes from the line of [indiscernible] of Citadel. Your line is now open.
Jeff Mccarter: Hey, guys. This is Jeff Mccarter with Citadel. I was hoping you could elaborate a little bit on the point you made about transitioning packages of gas, what basins are you seeing those in and were there further opportunities?
Joe Bob Perkins: Okay. You may have interpreted transitioning from a term I used as takeaway, kind of going back, mostly, we’re finding volume increases from our dedicated contracts with existing producers and those volumes were better than we thought in our important basins, battling on the entire Permian basin. West, south, surprised us to the positive. Particularly those large Permian basin positions in bad lands are coming from our existing acreage, but across the board, we’ve also been successful and that’s a complement to our people of winning a whole lot more, many, many more deals and much, much more volume on takeaway than we have lost, takeaway being a contract came up for renewal with someone else and we got it. Now, that’s on the margin, it’s a positive on the margin. It’s part of the positive surprise, but I don’t have more information to provide you other than to say we track it by deal and track it by volume and report back to our board and the wins are a whole lot better than the losses. But mostly, the positive volume surprised us from our existing contracts and our existing dedications.
Jeff Mccarter: Okay. So no real color that you can offer on, is that part of what drove the Eagle Ford volumes or is it producers shifting to different processors in the Permian, nothing more you can offer?
Joe Bob Perkins: I will say that my win loss ratio on volumes or deals is weighed to the target side on every basin.
Operator: Thank you. Our next question comes from the line of Ethan Bellamy of Baird. Your line is now open.
Ethan Bellamy: Bob, how would you handicap the potential for elimination of the crude oil export band and if that occurred, what would that be to your strategy?
Joe Bob Perkins: Everybody frowned at me, because they were afraid I would start talking.
Ethan Bellamy: I’d love to hear you do that.
Joe Bob Perkins: I won’t, I don’t handicap anything moving fast in Washington if it were to happen, we’re always trying to help as a midstream player. Everybody just did a big sigh of relief, I think that’s as much as I can dig in to.
Ethan Bellamy: So just to follow up there, how does that potential outcome factor in to your risk analysis on things like the condensate infrastructure and the agreement with Noble?
Joe Bob Perkins: That question, I can’t address. Recognizing even with export bands or opening up condensate, you still have needs for particular assets. Student body won’t go right or left based on a change in the law and our customers with their contracts and their portfolio of opportunities will decide whether those investments continue to make sense. That’s what we’ll respond to. And absent near term moves in Congress, that’s impacting people’s longer term outlook about assets. Even with the opening of selected condensate exports, you continue to need splitters on the US Gulf Coast to some extent within refineries, outside refineries, whereas going to splitters on the other side of the water. Where is the best place to be importing products, and moving it around, that’s a global, it’s a global market with lots of solutions.
Ethan Bellamy: Thanks so much. I guess I’m asking the right questions if you tell me no.
Joe Bob Perkins: I’m going to get a bad reputation. I’ve really tried to answer all the questions. We can only answer some of them so much.
Operator: Thank you. And our next question comes from the line of Charles Marshall of Capital One Securities. Your line is now open.
Charles Marshall: Two quick follow-up on your opening comments regarding distribution growth for the year, expected to come in at the lower end of the range, given your sort of better expectations on the back half of the year and field GMP volumes, et cetera, is your guidance range at the low-end, that includes your updated forecast for the remainder of the year or could that slide more to the right on the higher end of the range.
Matt Meloy: NO, we took in to consideration both our outlook in the field and our logistics and marketing business in to that 4 to 7% and then towards the lower end of that, we’re also part way through the year, we had a distribution increase of a penny in the first quarter, and then half a penny in the second. So then, we’re part way through the year, so we have a better handle on just kind of how the average is going to shake out.
Joe Bob Perkins: And we try to drive it smoothly.
Charles Marshall: Okay. I appreciate that. One last quick one. Regarding potential ethane export projects, is there any update there you can provide for us?
Joe Bob Perkins: No update.
Charles Marshall: Okay, thanks.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to hand the call back over to Joe Bob Perkins for any closing remarks.
Joe Bob Perkins: Thank you, operator. Thank you everybody for your patience and your interest and to the extent you have any follow-up questions, please feel free to contact Jim, Matt or any of us. Good day.